Operator: Good morning, my name is Mark and I will be your conference operator today. At this time I would like to welcome everyone to the Q4 and fiscal year 2007 Earnings Call. (Operator Instructions) Thank you, you may begin your conference.
Polly Schwerdt: Good morning. We would like to welcome you to Garmin Limited's fourth quarter 2007 earnings call. Please note that a copy of the press release concerning this earnings call is available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. Additionally this call is being broadcast live on the Internet. Please note that this webcast does include slides which can be viewed during this call. An archive of the webcast will be available until March 21, 2008. A telephone recording will be available for two business days following this call, and a transcript of the call will be available on the website within 48 hours at www.garmin.com/stock under the Events Calendar tab. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market shares, product introductions, future demand for our products and our plans and objectives, are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K for the fiscal year ended December 30, 2006, filed with the Securities and Exchange Commission. Attending on behalf of Garmin Limited this morning are Dr. Min Kao, Chairman and Chief Executive Officer, Cliff Pemble, President and Chief Operating Officer, Kevin Rauckman, Chief Financial Officer and Treasurer, and Andrew Etkind, General Counsel. The presenters for this morning's call are Cliff Pemble and Kevin Rauckman. At this time, I would like to turn the call over to Cliff Pemble.
Clifton Pemble: Good morning. We're pleased to report news that Q4 was the best quarter in our history, ending another record-breaking year of strong financial performance. During the quarter total revenue increased 99% to over $1.2 billion. EPS was up 70% to $1.39 per share, or 51% excluding the effects of foreign currency, which exceeded our expectations due to higher revenue generation as well as better than expected margins. Unit volume for the quarter exceeded 5.5 million units, just under the total number of units shipped for all of 2006, and represented approximately 45% of our total deliveries for 2007. We expect a strong seasonality trend to continue in 2008 and beyond. Our auto/mobile and outdoor/fitness lines were both strong contributors to fourth quarter revenue growth. For our 2007 full year results, revenue increased 79% to $3.18 billion. EPS was up 66% to $3.89 per share or 62% excluding the effects of foreign currency. We experienced strong revenue growth in all four business segments. Unit volumes for the year grew 127% to over 12.3 million units. Our worldwide employment grew to over 8,400 associates, including the addition of approximately 1,900 manufacturing associates during the quarter to meet the increased demand for our products. We also added over 100 engineers in our quest to drive future revenue growth through new and innovative product introductions. According to independent market research, Garmin has maintained a strong number one PND position in North America, and a strong and improving number two market position in Europe. We were pleased to see healthy growth in all of our business segments in 2007. Automotive/Mobile experienced 115% revenue growth and better than expected margins as PNDs became one of the hottest product categories of the 2007 holiday season. Aviation experienced 27% revenue growth thanks to positive customer response to our retrofit product offerings and additional G1000 cockpit wins. Outdoor/Fitness experienced 19% revenue growth in 2007, and particularly noteworthy was the fact that the outdoor/fitness segment grew 43% during Q4 on strong sales during the holiday season. Marine experienced 22% revenue growth as revolutionary new cartography and our all-new chartplotters drew customers into the Garmin family. To keep pace with the increasing demand for our products, we have committed to invest in people, facilities and equipment to support our future growth. In Taiwan, our capacity currently stands at approximately 20 million units annually. We will continue to expand the capacity of our Lin-Kou facility to support increasing PND demand. We will continue to expand engineering and office space in Taiwan as we look towards Asia as a new growth opportunity. In Europe, acquisitions of our distributors in France, Germany, Spain and Italy were completed in 2007. And we completed the acquisition of our distributor in Denmark in early 2008. And in the US, expansion of the warehouse distribution facility at our Kansas headquarters is expected to be complete in Q1 of 2008. We have started planning an expansion of our administrative headquarters and research and development facilities in Olathe, in order to support future growth. Turning next to some product highlights, at this year's CES show we introduced several exciting new products. In our nüvi family we announced the nüvi 780, the newest member of the 700 series, which includes an expanded MSN Direct content, like stock prices, news and local events. We also added a unique Send-to-GPS capability that allows the customer to select destinations using Microsoft's live mapping site and send them wirelessly to their MSN enabled PND. We announced the nüvi 800 series, a new high-end product line that features cutting edge speech recognition capabilities, text-to-speech, MSN Direct, Bluetooth hands-free, an FM transmitter, an MP3 and audio book player, travel features and premium points of interest. We also introduced the nüvi 260W, a value-priced navigator featuring a wide 4.3 inch sunlight readable screen, text-to-speech, and full North American map coverage including premium POIs. Finally, we introduced the nüvi 5000, the perfect product for customers seeking a larger display and advanced features such as an interface to a backup camera. The nüvi 5000 includes an easy-to-use touch screen interface, an advanced route planning feature, calculations of the most efficient routes between multiple destinations and dynamic content via MSN Direct. In our outdoor/fitness segment, we introduced two revolutionary products, which further define our leadership in this segment. In the fitness market, we introduced the Forerunner 405 which features an all-new form factor with an innovative touch sensitive bezel. The 405 tracks speed, distance, heart-rate and location and can be used indoors with the addition of our speed and distance Foot Pod. The 405 works in conjunction with our Garmin Connect fitness website which enables setting and monitoring of fitness goals, as well as sharing of location based fitness information between users. In the outdoor market, we introduced an all-new product named Colorado which included a brilliant high-resolution three inch color display and an innovative new thumb-driven UI we call Rock 'n Roller. This product family includes versions with built-in maps including Topo, Inland Lakes and Coastal Blue Charts. Colorado is the first product to include the Wherigo player from Groundspeak, which takes the enjoyment of geocaching to the next level through a game-like multimedia based user interface. And at our New York media event, on Wednesday, January 30, we announced the nüvifone, the newest product in our nüvi family, which integrates wireless voice and data connectivity. The nüvifone is the first device of its kind to integrate the most commonly used functions of connecting, communicating and navigating in an elegant mobile form factor. The premium features offered by the nüvifone include, a personal navigator with onboard maps and premium POIs, a premium 3.5G phone with UMTS, HSDPA and WiFi data connectivity, a premium mobile web browser, a local search portal that seamlessly integrates with navigation functions, personal messaging using email, SMS and instant messaging, a camera with automatic location tagging and picture navigation capability, and multimedia functions, including a video recorder, Mpeg 4 video player, and MP3. At last weeks, GSMA show in Barcelona, we had the opportunity to show the nüvifone to most major carriers across Europe and North America. We are very pleased with the positive feedback we received from carriers and will be working in coming days to solidify relationships. We anticipate providing additional details at a later date. Turning next to our 2008 business outlook; while we've just finished an exciting year, we're even more excited about 2008. We do anticipate that 2008 will present increased challenges from competitors, as well as declining ASP and margins. But we also believe that we are prepared to take advantage of the growth opportunities in all market segments. For 2008, we anticipate overall revenue will exceed $4.5 billion and EPS will exceed $4.40 per share. We look forward to introducing many innovative products again this year which will allow us to take advantage of the growing interest in location based devices and services. We will continue to promote product awareness and build equity in the Garmin brand. We will maintain our focus on new acquisition opportunities and continue to invest in people, facilities and equipment to support our growth. And finally, in the PND market, we will work hard to maintain our leadership position in North America and increase our market share in Europe through expansion of our distribution and direct relationships with major retailers. This concludes our business update. Kevin will now walk us through the details of the fourth quarter and full year results.
Kevin Rauckman: Thanks, Cliff. Good morning everyone. I'll be presenting the fourth quarter and fiscal 2007 financial results including business segment details. And we'll conclude with our 2008 outlook and guidance. As you saw from the press release this morning, we recognized revenue of $1.2 billion and net income of $307 million, or an earnings per share of $1.39 a share. This was a 99% top-line growth and 70% EPS growth and included favorable $0.08 EPS impact due to foreign currency gain of $19.5 million during the quarter. Our gross margins were 41.8% and they were better than expected due to stronger PND volume in the US than in Europe, PND price erosion offset by our material cost reductions, ongoing operating efficiencies and of course, product mix. We experienced more than a $100 million increase in our operating margins compared to the fourth quarter of '06. The operating margin of 25.7% was down from 32.6% last year, but much better than expected. Our gross margins were 810 basis points unfavorable with the year ago quarter. Advertising was 30 bps unfavorable with fourth quarter. Our other SG&A was favorable by 30 basis points, and our R&D was 120 basis points favorable. As Cliff mentioned, we shipped over 5.5 million units during the quarter on the strength of our auto/mobile segment and the average selling price across the business was $220 per unit, a 19% reduction below the third quarter of 2007, which was $271. Looking next at the full year income statement, our revenue was nearly $3.2 billion at a net income of $855 million for earnings per share of $3.89. Top-line 79% growth and bottom-line 66% growth on EPS were better than expected. It included a favorable $0.09 EPS impact due to the foreign currency gain of $23 million during the full year. Our gross margins for 2007 were 46% across the business. Better than expected, again due to the stronger PND volume in the US, rather than in Europe, PND price erosions offset by our material cost reductions - again, operating efficiencies and mix. When comparing our operating margin dollars year-over-year, we experienced more than a $350 million increase on that line. And the operating margins of 28.6% were down from 31.2% in 2006, again much better than expected. So for the full year, gross margins were unfavorable by 370 basis points. Advertising as a percentage of sales was flat with 2006. Our other SG&A was 40 basis points unfavorable, and our R&D was 140 basis points favorable. So, for the full year we shipped over 12.3 million units across the business on the strength of our auto/mobile segment. ASPs across the business were $258 per unit, which was a 21% drop from the full year of 2006. The non-GAAP measures that we reported include net income excluding the effects of foreign currency. As I just mentioned, this impact was $0.08 per share favorable during the fourth quarter and $0.09 per share favorable for fiscal year 2007. Looking next at revenue by segment, during Q4 we experienced triple-digit revenue growth across the auto/mobile segment, while the unit growth in the auto/mobile segment grew 244%. Revenue within the aviation segment continued its strong growth with a 16% growth rate over the fourth quarter of '06. Our marine segment also extended its Q3 growth into the fourth quarter with a 32% revenue increase. Our outdoor/fitness segment also continued its recovery as the growth within that segment was 43% during the holiday season. In total, our revenues grew 99% during the fourth quarter, which exceeded our expectations by over $200 million. For all of 2007, our auto/mobile segment grew 115% while units in that segment grew 210%. We ended the year with all segments growing revenue above 20% with the exception of our outdoor/fitness segment which made a strong second half recovery and grew at 19% during the full year 2007. In total, our revenues grew 79% during the year as we exceeded our expectations set out at the beginning of the year by nearly $700 million.
. : Looking next at the full year, by geography, our North American revenue for 2007 was up 89%, while our European business increased 63% and Asian grew at a 66% rate. During 2007, North American unit sales increased 158% on the strength of PND product sales and our Europe unit sales also grew nearly 100% at 96%. As we have seen in the past, because of the explosive PND market, our auto/mobile section, during the fourth quarter, now represents 82% of our total business. Within the auto/mobile segment the North American market unit growth was greater then Europe. However, both continents experienced 100% unit growth quarter-over-quarter. Garmin's total North American market growth exceeded the growth in Europe, during the quarter, as I said, and North America, during the fourth quarter, now represents 68% of our total business. Moving next to our margins, the fourth quarter aviation gross margin and operating margin, increased to their highest levels, in the last couple of years, at 69% and 39% respectively. The fourth quarter outdoor/fitness gross margin and operating margin also increased to 53% and 35%, respectively. In our fourth quarter, marine gross margin remained flat at 53%. However, our operating margin within the segment, decreased down to 22% due to sequentially lower volume during the quarter. As I'm sure you saw this morning, our fourth quarter auto/mobile gross margin came in at 38%, beating our expectations. The primary reason for the strength of the gross margin in this segment is that price compression was not as severe as earlier expected. We also experienced benefit from favorable product mix as PND units sold in the US, as I said, were greater then they were in Europe. Operating margin within the auto segment was 24% higher then expected. Due to expected price competition of PND products during 2008, we expect that our auto/mobile segment will experience an ASP decline of approximately 20%, which will cause our gross and operating margin compression during the year. On the operating expense line, R&D increased nearly $7 million quarter-over-quarter, but went down 170 basis points to 3.9% of sales. We now employ over nearly 1,400 engineers and engineering associates, worldwide. Our ad spending increased by $42 million over the year ago quarter. And on a percentage of sales, advertising was up 30 bases points, to 6.8% of sales. We do expect our ad spending to decrease sequentially, during the first quarter of 2008, by nearly $30 million, as we don’t plan TV advertising during this quarter, with the exception of the Super Bowl ad that you saw a couple of weeks ago. Our other SG&A increased 30 basis points to 5.4% of sales, from 5.7%, a year ago. We expect that our operating expenses will represent approximately 16%-17% of sales, for the full year of 2008, but only 12%-13% during our fourth quarter of 2008, as the holiday season becomes a more significant percentage of our year, due to growth towards mass market sales. Looking next at our balance sheet, we ended the year with cash and marketable securities of over $1.1 billion. Our accounts receivable increased to $953 million and represents, approximately, 62 days of sales. However, we have already collected on over $695 million of receivables, during the first quarter of 2008. Our inventory dollars were basically flat with Q3 of '07 and our days of inventory metric decreased. So at the end of 2007, we now hold 77 days of inventory, down from the 99 days we recorded at the end of the third quarter of '07. This can be broken down in the following areas: $130 million in raw materials, which represents nineteen days of inventory, $58 million for work in process and assembly, which represents nine days, $343 million in finished goods, which is 49 days, with inventory, offset by $26 million in inventory reserves. The reduction in raw materials and finished goods was planned as we produced and shipped a record number of units, during the fourth quarter. Finished goods, of 49 days, is within our typical range of inventory needed to support the various distribution channels that we serve. We remain committed to proper inventory planning, as we enter 2008, however, we expect that our business will experience even stronger seasonality during the year, and as such, we intend to more expectedly level our product production requirements and inventory levels through out the 2008 year. We believe that our retail channel inventory continues to be lean as sell-through of most of our products was strong during the 2007 holiday season. On the cash flow statement, we generated cash flow from operations of $126 million, during the quarter. Capital expenditures were $28 million. Therefore, free cash flow during the fourth quarter was $98 million. Cash flow from investing was $118 million, use of cash, during the quarter. This is made up of $28 million of the capital expenditures, $45 million in net purchase of marketable securities and $45 million acquisition of business and intangibles. Cash flow from financing was a $5 million use of cash during the quarter, and we earned an average of 3.7% on all of our cash and marketable securities balances, during the quarter. For the year, we generated cash flow from operations of $682 million, or pre-cash flow of $525 million. You probably saw this morning that our effective tax rate during the quarter was 11.7% and 12.6% for the full year of '07, lower then our earlier expectations. Incremental revenue and the net income during Q4 and the tax incentives in Taiwan were the primary drivers of the lower rate. We now expect an effective tax rate of approximately 12% for the full year of 2008. Garmin did purchase 57,000 of our shares back; prior to the share repurchase expiration at the end of 2007. And you also, I'm sure, saw this morning that we announced a new five million share two-year repurchase plan that will expire at the end of 2009. The approved share repurchase reflects our continued confidence in Garmin's strong cash generation ability and business prospects. Given the current Garmin share price, we intend to be active buyers in the market, thereby increasing shareholder value. We continued to grant stock appreciation rights broadly to our employees during 2007, as we granted nearly 2.9 million SARs last year. Our annual SAR grants, account for approximately 1.3% of our total outstanding shares. And finally, we are providing full year 2008 revenue and EPS guidance, for the first time this morning, as Cliff mentioned earlier. We expect our total revenue to exceed $4.5 billion, a 42% growth rate. We expect EPS to grow at least 16%, to $4.40 per share. Operating margin should come in at 23% for the year. That does represent a 600 basis points reduction. However, operating margin contribution will increase by over $150 million during 2008. Our capital expenditures are expected to hit $115 million. A significant portion of this amount will include manufacturing capacity expansion in Taiwan, due to the purchase of new production lines. And as I mentioned, our global effective tax rate is expected to be 12%. All four of our business segments will again experience double digit revenue growth. The auto/mobile segment will continue to lead the way, and revenue is expected to grow 45% during 2008. Aviation revenue growth is expected to be 30%. Both our outdoor/fitness and marine segments are expected to grow by 25%. These 2008 expectations are conservative in nature but they factor in the macro economic trends that have existed since the beginning of 2008. We remain confident in our competitive position and business model, but we do not have a crystal ball, obviously, into the remainder of 2008. While we continue to operate within a growth cycle that defines the navigation industry, we have considered the global economic environment, within these recently announced 2008 expectations. So thanks everyone for their attention this morning. At this point we would like to open up for questions. So if you do have a question, please get in the queue and we will address them one at a time. Thank you.
Operator: (Operator instructions) Your first question comes from the line of Aaron Husock with Morgan Stanley.
Aaron Husock - Morgan Stanley : Thank you for taking my questions. A couple of things quickly, just to start, on the auto/mobile gross margin, should we see that kick back up some in Q1 as the mix gets a little bit richer post the holiday season and you've end-of-lifed some low margin products
Kevin Rauckman: I think in general, yes. Our expectations are that over-all ASP should come up slightly because we had some very low price points, as we end the life on the C330, during the holiday season. So in general, yes. From a trend basis, Q1 should be slightly above what Q4 was on PND margins. Yes.
Aaron Husock - Morgan Stanley : Could we see that get back above 40%, especially as you take out some NAND cost? Would that transition tip?
Kevin Rauckman: It's likely that we could get that high, yes.
Aaron Husock - Morgan Stanley : Okay, great. Can you address the European PND market? There has been a lot of concern about slowing and signs of saturation there. Can you tell us what you are seeing over all?
Clifton Pemble: Yeah, I think - Aaron, this is Cliff - I think that projections for 2008 have ranged anywhere from 35% to, probably, in the 40% range, which is kind of our expectation at this moment as well. That does obviously represent a slowing of the growth that we have seen in Europe. The quantity and the market is very large and we see ourselves as taking an increase in share in Europe, as well.
Aaron Husock - Morgan Stanley : Okay, great. And then just, can you elaborate a little bit more on the feedback you got at 3GSM on the nüvifone. I am assuming, just from your comment today, that you haven’t actually signed any carriers yet. Do you feel that you are actually close? I mean, could we expect something signed within the month?
Clifton Pemble: Well, we are not really prepared to give timelines of when we will announce that particular signing. There is a lot of activity going on. As we mentioned, the response at the show was quite positive, in fact, overwhelmingly so for us. So, we feel that we have a strong product concept, there is a lot of interest from carriers in the industry, and we are just moving forward with our plan.
Aaron Husock - Morgan Stanley : Great, thank you.
Operator: The next question comes from the line of Jonathan Goldberg with Deutsche Bank.
Jonathan Goldberg : Just first a house keeping question. You mentioned an $0.08 foreign exchange impact, is that right, for that quarter?
Deutsche Bank: Just first a house keeping question. You mentioned an $0.08 foreign exchange impact, is that right, for that quarter?
Kevin Rauckman: Yes.
Jonathan Goldberg: So your headline number of $1.39 is favorably impacted by $0.08? Is that right?
Deutsche Bank: So your headline number of $1.39 is favorably impacted by $0.08? Is that right?
Kevin Rauckman: Yes, I mean, when you strip that out its $1.31. Yes.
Jonathan Goldberg: Okay. And then, I just want to talk a little bit about guidance. You mentioned that you had factored in some form of global slowdown when you were making your forecasts for 2008. Can you just elaborate on that a little bit more? How bad do you think things are going to be? How long in advance do you - are you receiving orders from retailers now for the middle of the year or for the end of the year? Could you just walk us through how that process works?
Deutsche Bank: Okay. And then, I just want to talk a little bit about guidance. You mentioned that you had factored in some form of global slowdown when you were making your forecasts for 2008. Can you just elaborate on that a little bit more? How bad do you think things are going to be? How long in advance do you - are you receiving orders from retailers now for the middle of the year or for the end of the year? Could you just walk us through how that process works?
Kevin Rauckman: Yes. I think what we are experiencing is very typical of what we have seen in the past few years. We do get some orders, talking about spring promotional activity already. It depends on the retailer. In some cases we are already talking about plans for next year's holiday season, but we don’t have huge backlogs. We have never been a large backlog business, but we get orders in as we go through the quarter, for the current quarter, and also for the upcoming spring selling season. I don’t see anything - a major difference in how we deal with the retail channels, but we just don’t have great visibility on the back half of the year, at this point.
Jonathan Goldberg : So how did you get your guidance if you are not clear on the end of the year? When you built your models, what did you factor in for growth, at the end of the year?
Deutsche Bank: So how did you get your guidance if you are not clear on the end of the year? When you built your models, what did you factor in for growth, at the end of the year?
Kevin Rauckman: Well, I think that the fourth quarter will continue to be a larger portion of our full year, as the PND has now become a mass market. It approached 40% last year, I think it was 38%. I think we will probably be close to 40% in the full year, in the holiday season. But the way we do our forecasts are a combination of overall trends in the four market segments that we serve. And also doing a kind of bottom up, country by country look at what the business appears to be able to achieve during the year.
Jonathan Goldberg : And are you seeing any signs of a global, or a US and European recession, right now? From what you can actually see?
Deutsche Bank: And are you seeing any signs of a global, or a US and European recession, right now? From what you can actually see?
Kevin Rauckman: I think you guys are the experts on global recession. I'm not sure I can make a comment on whether we are going there, but I think we try to be conservative with our outlooks.
Jonathan Goldberg : But you are not actually seeing, in your numbers now, it doesn’t feel like a slow down yet?
Deutsche Bank: But you are not actually seeing, in your numbers now, it doesn’t feel like a slow down yet?
Kevin Rauckman: No. Some retailers are still growing quite rapidly, others, maybe not so much. In general, we still see growth, that's what we have outlined today with our guidance.
Jonathan Goldberg : Great, thank you very much.
Deutsche Bank: Great, thank you very much.
Operator: The next question comes from the line of Jeff Evanson of Dougherty & Company,
Jeff Evanson - Dougherty & Company: Good morning and thank you for taking my questions. Kevin, could you talk a little bit about how long you think this 12% tax rate can last and what are maybe the policy swing factors that go into determining that? Taiwanese tax policy.
Kevin Rauckman: Yes, I think that we have been pretty open about the holidays that we get, and those are always five year forward looking, so at a minimum we are going to get that type of a rate for the next five years. Part of it has to do with incremental growth too, so the more that we generate and produce out of Taiwan, the better the effective rates can get. So I would just say, for now, the expectation would be 12% for the next foreseeable future, for the next five years.
Jeff Evanson - Dougherty & Company: Great. Can you give us, either some sense of how many PND units you shipped into Europe, or where you think your market share is in Europe, at this point?
Kevin Rauckman: Well, we believe we came close to the 20%-25% range on market share in Europe. We did ship more units into the US market, as I mentioned, it grew at a more rapid pace then Europe. We definitely shipped more then 50% of the PNDs into the US than we did in Europe. But there is still a strong and growing market share in Europe. 
Jeff Evanson - Dougherty & Company: Is your expectation for PND growth in Asia Pacific, that that geography will grow faster then Europe and North America, in 2008, the same or slower?
Kevin Rauckman: I think the overall Asian contribution is still relatively small but we do see a growing demand for the Asia market in the next couple of years. But it's still a relatively small mix of our total $4.5 billion expectation.
Jeff Evanson - Dougherty & Company: Any sense on whether or not it will grow faster, though?
Min Kao: I should imagine there's a (indiscernible) limitation in most of the Asian countries
Jeff Evanson - Dougherty & Company: Ok, thanks. Two more quick questions. Could you tell us a little bit about what your plans are for reducing inventory? Your days here are down 20% year over year, what kind of target are you looking for? And then, where are those reductions coming from?
Kevin Rauckman: Well, I think one of the messages that we wanted to communicate to you all today is that we generally are shooting for around 90 days of inventory, but there may be periods - like in order to level load our production, we don’t want to be going up and down on volumes thought 2008, but try to build at a reasonable, kind of linear rate. We may build ahead, in some cases. For example, Q1 would be an example of that, where we will probably end up with a little bit higher inventory. Much like do in Q3, as well, as we approach the higher selling season. But in general, 90 days of inventory is still a pretty good target.
Jeff Evanson - Dougherty & Company: Okay, and then my last question. Could you give us some sense of what kind of assumptions we ought to be putting in our models for the nüvifone in 2008?
Kevin Rauckman: I think it's hard when you come out with a new product in a new category, like this. And until we get deals signed I'd say that we really don’t expect a major part of our revenue. We are still assuming the PND growth is where most of the growth comes from, and keep in mind nüvifone is in the back half of the year, too. So, it would not include anything in the first half.
Jeff Evanson - Dougherty & Company: Is there any kind of sense that you can give us on units and margins? Even though it is small, it would be helpful.
Kevin Rauckman: Well I think the margins - you should just assume it's near or maybe just slightly below our PND margins. But not materially off there. We're really not prepared to talk about actual nüvifone units this morning.
Jeff Evanson - Dougherty & Company: Okay, all right. Thanks a lot.
Operator: The next question comes from the line of Noelle Swatland with Lehman Brothers.
Noelle: Good morning guys.
Swatland - Lehman Brothers: Good morning guys.
Kevin Rauckman: Good morning.
Noelle: Congratulations on the quarter. My question related to - well actually, just a couple of questions here. First on the seasonality and PNDs, you had mentioned very strong sell through, moving into the first quarter. I think last year, units sequentially were down around 25%-30%. Is that the kind of range we should be thinking about for this year as well?
Swatland - Lehman Brothers: Congratulations on the quarter. My question related to - well actually, just a couple of questions here. First on the seasonality and PNDs, you had mentioned very strong sell through, moving into the first quarter. I think last year, units sequentially were down around 25%-30%. Is that the kind of range we should be thinking about for this year as well?
Kevin Rauckman: Yeah. PND units last year were down - well, I guess revenue, I'm looking at revenue - were down up to 30% in 2007, Q1. Given the really strong Q4 we just experienced, I think it's going to be more then that, going into Q1. Sequentially, our business came down in total, about 20%. I think it could be much closer to 40% in Q1, as we look at seasonality this year.
Noelle: Okay. And then, just on the other businesses. You have given some full year guidance, but can you just run us through some of the seasonal trends we should expect in those businesses in the first half. Will we see the marine business kind of fall in line with levels that we have seen last year? I know outdoor/fitness, you just released a variety of new products, so how do we think about seasonality there? And then - on aviation, is it kind of steady growth through the year or more backend loaded? Thanks
Swatland - Lehman Brothers: Okay. And then, just on the other businesses. You have given some full year guidance, but can you just run us through some of the seasonal trends we should expect in those businesses in the first half. Will we see the marine business kind of fall in line with levels that we have seen last year? I know outdoor/fitness, you just released a variety of new products, so how do we think about seasonality there? And then - on aviation, is it kind of steady growth through the year or more backend loaded? Thanks
Kevin Rauckman: Well, in general, I think you will see similar trends in 2008. For example, on marine, we start picking up and sell marine sales in Q1, and they'll have a big Q2, and then we see a drop-off back down in Q3 and down further in Q4. So that trend really won't change much. Aviation, because of our expectations with the new OEM sales, we have more sales expected in the back half of aviation. So there are some data points on seasonality. Outdoor/Fitness will, I think, again operate very pretty much like it did last year. We will see a decline from Q4 to Q1, sequentially, and then an increase up into Q2, then an increase each quarter throughout the rest of the year. And then, as I mentioned, the PND, the auto/mobile, will operate much like a mass market, where the holiday sales will probably approach 40% of the year. We will see a sequential decline on PNDs, as much as 50%, from Q4 last year to Q1 this year. And then a big increase, probably another 50% sequential increase, going into the second quarter, flattening out in Q3 and then a big bump up in Q4. So, there is a lot of detail, but that is the way that we see the year rolling out.
Noelle: Thank you very much.
Swatland - Lehman Brothers: Thank you very much.
Operator: The next question comes from the line of Scott Sutherland with Wedbush Morgan.
Kerry Rice - Wedbush Morgan Securities : Hi, this is Kerry Rice, for Scott. Just a quick question. You touched on each of these in previous questions, but in the prepared comments you mentioned that inventory levels were at, what you felt, were the appropriate levels. I was curious; do you look at this on a weekly basis? Can you give us some insight on what you think the weekly inventory level is and if you think that - does that change seasonably a little bit, as well?
Kevin Rauckman: Are you talking about inventory in the retail channels?
Kerry Rice - Wedbush Morgan : Yes.
Kevin Rauckman: Yes, I think in certain geographies we have pretty good information from our major retailers on what inventory they hold. And that hasn’t really changed. So we get, in some cases, daily feedback on what our retailers hold. And again, I said, it felt like the sell-through was very strong in Q4, obviously with the strong revenue. So we were in pretty good shape on the channel inventory, going into the year. So far this year, sell through continued to grow, as I mentioned. In some geographies, not so much, but in the US there continued to be pretty strong sell through.
Kerry Rice - Wedbush Morgan : Is there any kind of metric we can look for, like its five weeks at the retail channel? 
Kevin Rauckman: No, it's really pretty divergent, based on which retailer we are talking about. Some of the retailers hold just a few days, others hold weeks of inventory.
Kerry Rice - Wedbush Morgan : Okay. And then you mentioned that you didn’t really see any economic impact, or negative impact of the current economic environment in your guidance, but you know, with the auto/mobile being such a big piece of your revenue, if the auto market continues to experience the challenges that they have in '07, do you see that causing any kind of additional negative impact to your guidance?
Kevin Rauckman: Yeah, I don’t know that I said we didn't see any impact on the economy. I think we were trying to be conservative of what we see going on in the overall global trends. So I just want to be a little more clear there. Clearly the growth rates are slower in 2008 than they were in 2007 on the PND. And I guess finally on your question on the overall automotive industry, I think that could impact the overall auto/mobile business for us in 2008.
Kerry Rice - Wedbush Morgan : Okay, and one final question. Obviously you're seeing some pricing pressure, which is not new, but can you talk a little bit more about maybe the material costs and how that could offset - somebody mentioned NAND, but what about the LCD screens and other components that might see some pricing offsets?
Kevin Rauckman: As I mentioned, overall we believe our total ASPs on the auto/mobile segment will come down about 20% and we're budgeting about a 10% material cost reduction across that segment, so that will clearly have, on a percentage basis, have some pressures, but again we still expect pretty strong top-line growth.
Kerry Rice - Wedbush Morgan : Okay, thank you very much.
Operator: Your next question comes from the line of Yair Reiner with Oppenheimer & Company.
Yair Reiner - Oppenheimer & Co.: Thank you, and also congratulations on the strong quarter. A couple of questions. First, in the US we saw in the fourth quarter, some pretty stiff price competition. How concerned are you about that coming back next year and to what extent have you baked that into your gross margin assumptions for 2008?
Kevin Rauckman: Well I think that we're in an environment where prices are something we look at daily, and it's just part of the environment we operate in and we just factor in expectations on what we want to do with the pricing road map throughout the year. 20% is what we think we're going to see throughout the full year. I think, from a trend, you'll see pricing maybe come up a little bit in Q1 from the very low Q4 holiday season, but then trend down as we go through the rest of the year into the holiday season of '08.
Yair Reiner - Oppenheimer & Co.: In the long term, what do you think the margins should be for the PND business?
Kevin Rauckman: Define long term. You mean in 2008?
Yair Reiner - Oppenheimer & Co.: I would call that medium term. Let's say 2009, 2010.
Kevin Rauckman: Okay, now we're really not prepared to talk about 2009, but I would just say that we have factored in a much lower margin percentage in 2008 to be able to get to a 23% operating margin. So, probably 500-600 basis point decline on gross margin across the business.
Yair Reiner - Oppenheimer & Co.: Panning out to the bigger picture, we're seeing various GPS aware applications and mapping applications appearing on a lot of devices. And I think that there's some concern out there that maybe over time PNDs will become less relevant as a mode of navigation. In the marketing work that you guys have done, what is your best estimate of how much PNDs can penetrate into the end-market and how big do you think this market ultimately is?
Kevin Rauckman: Well I think there's a lot of debate about what the ultimate penetration level can be and I don't think anybody has a crystal ball. We've heard numbers anywhere from the mid to high twenties up to 45-50 and again this is a major question. And from there, what is the device replacement cycle as there is new innovations and so forth. So quite honestly, I don’t think that anybody has a clear answer to that.
Yair Reiner - Oppenheimer & Co.: Very good. Thank you very much.
Operator: Your next question comes from the line of Ben Radinsky with Bear Stearns.
Ben Radinsky - Bear Stearns: Good morning. The first question is, you talked about ASP declines of 20% in '08. What's your assumption for the offsetting cost amount decline?
Kevin Rauckman: I said about 10% material cost reduction.
Ben Radinsky - Bear Stearns: Okay. Multiple times in your prepared remarks you talked about how you exceeded your expectations in Q4 for margins. What were your Q4 expectations for margins?
Kevin Rauckman: Well, we thought on the PND, for example, we could get as low as 35% so we, as you saw, we were 38%, so that came in about 300 basis points higher there.
Ben Radinsky - Bear Stearns: What happened? How were you able to achieve better margins than you expected? Especially considering the fact that multiple times you said that ASPs declined faster than you thought they would.
Kevin Rauckman: I think, what I said on a couple of occasions was that the US component or the US market had more unit sales and that we still make more margin in the US than we do in Europe right now. So that favorable product mix helped us offset what our earlier expectations were.
Ben Radinsky - Bear Stearns: So that implies that the strength in margin was simply a matter of mix in Europe, meaning Europe was much weaker than you expected?
Kevin Rauckman: Not the only factor, but it was a significant factor.
Ben Radinsky - Bear Stearns: Okay, and then, I know that you don't want to give much commentary about the phone, but let's assume you actually are successful in signing up a carrier.
Kevin Rauckman: That's what we think, yes.
Ben Radinsky - Bear Stearns: You mentioned margins would be similar to PND margins if not slightly lower. Which PND margins are you talking about? Exiting 2008 margins or current margins?
Min Kao: Exiting, about 30%.
Kevin Rauckman: Low thirties.
Ben Radinsky - Bear Stearns: And given the fact that you are using manufacturing capabilities outside of your company, would you say that your operating margins are going to be significantly lower than currently exist for the PND business?
Kevin Rauckman: Yes, depending on what we have to do with branding and advertising. Yes.
Ben Radinsky - Bear Stearns: So, your gross margins might be stable, but your operating margins would be significantly lower.
Kevin Rauckman: Lower than the overall operating margin in the business or in the PND segment?
Min Kao: I think they are very small but we expect that the operating expenses are going to be as high as the PNDs.
Ben Radinsky - Bear Stearns: Okay and then just one last one from me. Conceptually, given the fact that Q4 - you're expecting it to be such a fantastic quarter in 2008 given historical trends, do you expect that the phone will represent a large percentage of Q4 revenue or are you assuming that it will be a very small percentage of Q4 revenue?
Kevin Rauckman: Well I think, as I mentioned earlier, it back-half loaded so for the full year it's not a significant number. And even for one individual quarter it won't be 25 or 30% of our quarter so it's still a relatively small part of our forecast at this point.
Min Kao: Yeah 5-10%.
Ben Radinsky - Bear Stearns: Okay, so just as a follow-up to that. In Q4, you expect that the consumer demand will still exist for the PND and that the nüvifone will not cannibalize the PND business even if you have very substantial carrier relationships.
Kevin Rauckman: Right. That's correct. What we've said - I know I've talked about this for at least 12 months, is that the PND category is still going to be a strong category. The mobile enhanced set market will grow but there will be more users and that's one of the reasons that we announced the nüvifone. We feel like we need to contribute to that part of the market. But PND does not get cannibalized to the point where it goes away.
Ben Radinsky - Bear Stearns: Thanks very much.
Operator: Your next question is from the line of JB Groh, of DA Davidson & Co.
JB Groh - DA Davidson & Co.: How are you doing?
Kevin Rauckman: Good, JB.
JB Groh - DA Davidson & Co.: I think you touched on what's embedded in your guidance in terms of ASP and material costs, but it sounds to me like you're not baking in a huge amount of revenue from nüvifone. Or how should we view that? I know you don't want to get too granular on what your expectations are but it seems to me that could be a wildcard to the guidance, at least from a top-line perspective.
Kevin Rauckman: I think to what Min just said, if you think about 5-10% of any quarter, that's as large as it gets this year. That's what we think.
JB Groh - DA Davidson & Co.: Okay. And then, what sort of C-Series inventory do you still have on the balance sheet and in the channel do you think?
Kevin Rauckman: We think we pretty much end-of-lifed it. There's not much left. I can say on the C330, we still sell C5 Series, but on the C330, a very small amount.
Clifton Pemble: The deal is gone.
Kevin Rauckman: We really did kill the product.
JB Groh - DA Davidson & Co.: And then, nüvifone - is it going to have a multiple carrier relationship?
Clifton Pemble: As many as we can.
JB Groh - DA Davidson & Co.: Okay. Thanks for your time. Congratulations on the year.
Operator: Your next question is from the line of Peter Friedland with Soleil.
Peter Friedland - Soleil : Hey guys, can you just give us some absolute numbers in terms of your estimated size for the PND market in 2007, both US and Europe, and then you mentioned some growth expectations for the European market, and then so what are you expectations for the US? Thanks.
Kevin Rauckman: We believe that, we don’t have all the numbers in yet, but we believe that the US market in PNDs likely exceeded 12 million units, and we think the European market was close to 16 million units. And those numbers at this point, we think the 16 in Europe will probably go into the low 20s, like 22, 23 in 2008, and the US market will likely go from 12 to probably 20. So you’ll see that the divergence, or the relative size difference in US and Europe will not be very great at the end of 2008.
Peter Friedland - Soleil : Great, thank you.
Operator: Your next question is from the line of Rich Valera of Needham & Company.
Rich Valera - Needham & Co.: Thanks, all my questions have been answered.
Kevin Rauckman: Thanks Rich.
Operator: Your next question is from the line of Jim Duffy with Thomas Weisel.
Jim Duffy - Thomas Weisel: I was wondering if you could provide a little detail on some of the moving parts on the bill of material savings, where is the low hanging fruit there?
Dr. Min Kao: As Kevin indicated, we have projected around 10% of the cost decrease in components, and we actually saw some cost reductions in display, and also in NAND.
Jim Duffy -Thomas Weisel: Okay, thanks a lot.
Operator: Your next question is from the line of Brandon Dobell with William Blaire.
Brandon Dobell - William Blaire: Thanks, Kevin, I just have a question about, a bit of perspective, I guess, on the distributors. How much of an impact was that in the fourth quarter in terms of revenue for your guide? Are you happy with how the progression’s been? Just kind of getting those businesses squared away, and is there any kind of impact in your assumptions on what that might do for you?
Kevin Rauckman: Well I think that the distributor acquisitions we acquired, our Italian and our Spanish distributors late in the quarter, so they really had very little contribution. France and Germany, which were earlier, 2007 acquired companies, continue to do very well for us in the overall European market, and in fact we’ve seen market share gains in both of those countries since the acquisition. And then Denmark, that just happened a few weeks ago so it’s too early to tell on that. But I think in general, the strategy of acquiring those major countries, I think we now own about 65% of the overall European markets, that are now Garmin. I think that’s so far been a successful strategy for us.
Brandon Dobell - William Blaire: Do you see any change in how the retailers are working with you guys in Europe now that you own more distributors or as much (inaudible), just a different margin structure?
Kevin Rauckman: Yes, I believe in many cases that we’re now, we have a common front to the retailer, and we’ve been able to get deals on work, promotional activities in several of the retailers in Europe and those countries, so it has helped us, I’m not prepared to give specifics on which distributor, or which retailer, but in general it has helped us, yes.
Brandon Dobell - William Blaire: And as you think about the split of advertising dollars in the auto/mobile section in the US and Europe, what’s the strategy there, how can we think about the different proportion of dollars going to the US and Europe?
Kevin Rauckman: I think we need to advertise effectively in both continents to be able to continue to push PND as a mass market, so that’s what’s in our advertising budget for the year, as continued print and TV and branding both in the US and country by country in Europe.
Brandon Dobell - William Blaire: Just a final question on that, is it fair to assume that the relative size of the advertising budget is going to map the revenue in those geographies for auto/mobile or is it a little bit…?
Kevin Rauckman: I think it’s fair to assume that that’s the way to evaluate it.
Brandon Dobell - William Blaire: Thanks.
Operator: And your final question comes from the line of David Niederman with Pacific Crest Securities.
David Niederman - Pacific Crest Securities: Good morning, just hoping you could comment on your expectations for OpEx for Q1, should we see a similar sequential trend that we saw in ’07?
Kevin Rauckman: Yes, I think what we typically see is sales is sequentially down and we have more of a fixed cost, so even though I commented on 16-17% for the year, it’s going to be very low in Q4, but our operating expenses will be higher as a percentage of sales in Q1.
David Niederman - Pacific Crest Securities: Great, thanks.
Kevin Rauckman: Thank you. Alright everyone, thanks again for your continued interest in our company, we aim to continue to stand our brand throughout 2008. We look forward to talking to you again at the next conference call. Thanks very much.
Operator: This concludes today’s conference call.